Operator: Good afternoon, and welcome to Airgain's Third Quarter 2025 Conference Call. My name is Paul, and I will be your operator for today's call. Joining us today are Airgain's President and CEO, Jacob Suen, and CFO, Michael Elbaz. As a reminder, this call will be recorded and made available for replay via a link found in the Investor Relations section of Airgain's website at investors.airgain.com. Following management's prepared remarks, the call will be opened for questions from Airgain's covering analysts. I caution listeners that during this call Airgain management will be making forward-looking statements about future events as well as Airgain's business strategy and future financial and operating performance. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in today's earnings release and Airgain's SEC filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, 11/12/2025. Airgain undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition, this conference call will include a discussion of non-GAAP financial measures. Please see today's GAAP earnings release for further details, including a reconciliation of GAAP to non-GAAP results. Now I'd like to turn the call over to Airgain's CEO, Jacob Suen. Jacob?
Jacob Suen: Good afternoon, everyone, and thank you for joining us. Throughout 2025, we have remained deliberate about how we built Airgain, focusing on what we can control, refining where we compete, and executing step by step to create a stronger, more scalable company. Our focus continues to show in our results. In Q3, we delivered our third consecutive quarter of sequential revenue growth, met guidance, achieved strong gross margins, and generated positive adjusted EBITDA. We also reached key certification milestones that move our growth platforms closer to scale. Before diving deeper, I want to step back and frame where we are in our growth journey. With the year nearly complete, this is a good time to reflect on the progress we have made and how it positions Airgain for sustainable growth in 2026. Airgain was founded on a simple idea: we simplify wireless. From day one, our mission has been to help our customers' devices, vehicles, and networks connect more reliably by removing complexity from wireless design. Our technology reaches across three core markets: consumer, enterprise, and automotive, connecting leading carriers, service providers, and OEMs that depend on reliable wireless performance. Our business rests on two pillars. First, our core markets that provide stability and a solid foundation to fund growth. Second, our growth platforms, AirgainConnect and Lighthouse, are opening new scalable opportunities in fleet and network coverage solutions. Let me start with our core business, which remains healthy and profitable on a standalone basis. In consumer, we expect revenue to grow at a double-digit rate for the second consecutive year, driven by the WiFi 7 transition among Tier 1 cable operators and growth of FWA antenna sales to a Tier 1 mobile network operator. Looking ahead to 2026, we expect continued growth supported by the WiFi 7 transition and new design wins, such as the one we announced this week with another Tier 1 US carrier for its next-gen WiFi 7 fiber broadband gateway. The new platform is targeted for commercial launch in 2026, with projected shipments exceeding 5 million units within the next five years. In embedded modems, we also expect double-digit revenue growth for the second consecutive year, fueled by rising demand in utility infrastructure monitoring, including energy management and electrical grid applications. We launched our Skywire Tier 1 base embedded modem and recognized initial revenue in Q3, and we expect this solution to be a growth driver in 2026. Embedded modem sales now represent more than half of our enterprise market revenue, and we continue to invest in next-generation development to expand our leadership position.
Jacob Suen: While our consumer and embedded modem businesses generated higher revenue and contribution margins this year, other product lines faced challenges that we are actively addressing. Asset tracker sales have moderated, reflecting a lack of traction on customer projects. Aftermarket antenna and enterprise custom products remain weighed down by channel inventory overhang, partly driven by government agency project deployment delays. Given the current government funding climate, we expect this overhang to persist through 2026. Additionally, we are leveraging our high-performance antenna portfolio to expand into emerging markets and applications, including unmanned flight systems, smart infrastructure, and industrial IoT, which are expected to create new revenue streams for Airgain in 2026 and beyond. Taken together, our core markets are performing largely as expected, providing steady revenue and EBITDA. We expect core markets will be up modestly in 2026 and to remain self-sustaining, generating the cash flow that supports continued investment in our platform strategy. With our foundation in place, let's transition to our growth platforms, AirgainConnect and Lighthouse, where we are seeing tangible progress and expanding engagement.
Jacob Suen: AirgainConnect is our integrated 5G gateway platform for enterprise applications, such as fleets, utilities, and mobile usage. Following the AT&T FirstNet trustee certification earlier this year, we achieved another significant milestone by obtaining T-Mobile key priority certification last month, validating AirgainConnect for mission-critical connectivity and opening access to T-Mobile's public safety and enterprise networks. As we have shared on prior calls, the AirgainConnect sales cycle varies by fleet size, which impacts the timing of revenue recognition. Tier 3 customers, under 50 vehicles, move the fastest with a sales cycle of roughly three months, providing near-term revenue potential. Tier 2 customers, 50 to 500 vehicles, generally take six to twelve months from engagement to deployment. Tier 1 customers, over 500 vehicles, have the longest cycle, twelve to eighteen months, and often structure RFPs in pilot validation programs. Our sales approach is consultative and multi-pronged, spanning partnerships with carriers, strategic value-added resellers, and distributors to direct engagements with key customers as a trusted solution provider. We have a dedicated sales, marketing, and customer support team, which continues to evolve to better address customer needs. Our sales opportunity pipeline continues to expand, with roughly 80 opportunities in play, two-thirds of which are in pretrial phases. We currently have approximately 60 Tier 3 opportunities, averaging 10 units each, with nearly half already in the post-trial phase. Our Tier 1 and Tier 2 opportunities vary in size, with most still in the early engagement or pretrial stage. About two-thirds are focused on the first responder market, where adoption has been slowed by budget and funding constraints that were further accentuated by the recent government shutdown. While the AirgainConnect value proposition in the first responder market centers around its all-in-one design and integrated eSIM capability, we are finding strong traction in utility and energy infrastructure markets. For these customers, the conversation shifts from replacing their current cellular setup to enabling true edge connectivity, a new level of integrated high-performance connectivity that supports advanced in-vehicle sensing, multi-camera video recording, and image recognition capabilities, and external environmental sensors with continuous cloud connectivity. AirgainConnect is more than a hardware upgrade; it simplifies network management, improves coverage and performance, and meaningfully reduces OpEx by allowing fleets to consolidate multiple SIM-based connections into a single intelligent gateway. A good example is our engagement with a large fleet operator pursuing a digital transformation to improve operational efficiency and reduce annual operating expenses. Today, each truck relies on multiple SIMs to power cameras and sensors. ACP is being evaluated as a single gateway solution with multiple carrier eSIM capability, simplifying connectivity management and enabling remote carrier switching.
Jacob Suen: Looking ahead, we are on track for Tier 2 opportunities to begin converting into design wins in 2026, with Tier 1 programs expected to follow in the second half of the year. These milestones reflect steady progress to customer validation and demonstrate strong alignment with our strategic engagement roadmap. Compared to Lighthouse, AirgainConnect is the more immediate growth driver, and we enter 2026 with strong visibility and confidence in the platform's adoption trajectory. As AirgainConnect establishes our leadership in fleet connectivity, Lighthouse marks our expansion into network infrastructure optimization, helping carriers and enterprises expand 5G coverage and offload extra capacity more efficiently. We achieved FCC certification last month, a significant milestone that now enables Lighthouse to be deployed commercially in the U.S. Lighthouse, our 5G network control repeater, provides a faster, lower-cost, and more sustainable alternative to traditional base station infrastructure and passive distributed antenna systems. Equipped with an optional solar package, it can operate autonomously in off-grid or rural locations, addressing both performance and sustainability objectives. We continue to make meaningful progress across our target regions. In the U.S., we have secured a Tier 1 carrier trial that is expected to be completed by the end of this year.
Jacob Suen: This trial represents months of technical collaboration and senior executive sponsorship, underscoring its significance as a company milestone. As part of this engagement, we will deploy our first dual carrier installations, validating Lighthouse's capability to aggregate multiple spectrum channels simultaneously, delivering higher throughput, improved signal stability, and a superior end-user experience. This channel aggregation capability is unique to Lighthouse and represents a clear competitive differentiator in the 5G coverage expansion market. While we are excited about this U.S. trial, we remain cautiously optimistic given the lengthy carrier engagement cycle. We're also finalizing a system integrator agreement with a leading U.S. system integrator covering thousands of sites transitioning from 4G LTE to 5G. The integrator plans to use Lighthouse to upgrade these locations and support future deployments. This is a strategic relationship designed to enable and scale customer deployments while also supporting the integrator's enterprise clients. In the Middle East, installations are progressing with Ormatio through the initial phase, and we are planning for a joint sales and marketing rollout in 2026. In parallel, we are engaged in additional regional discussions and expanding Lighthouse adoption across neighboring markets. In South America, we are currently executing a trial with a top five global tower provider in collaboration with two regional Tier 1 mobile network operators. This trial marks the industry's first dual operator deployment with Lighthouse, supporting two independent carriers through a single installation. This capability eliminates redundant hardware, reduces deployment cost, and accelerates network expansion. While the opportunity could be significant, we remain cautiously optimistic regarding the financial impact, which is expected to materialize over the next twelve to eighteen months. Looking ahead, our focus is on completing active deployments, scaling commercial pilots, and expanding system integrator partnerships globally. We expect modest Lighthouse revenue contribution in the first half of next year, followed by stronger growth in the second half as U.S. system integrator engagements expand and international projects advance. Our strategy is working, momentum is building, and execution remains our priority. As we conclude 2025, our focus remains clear: to complete our transition from a component supplier to a scalable wireless systems solutions company. We're maintaining financial discipline, executing on our engineering roadmap, advancing customer pilots, and delivering on our sales and operational goals, all of which position us to scale efficiently and sustain growth in 2026 and beyond. Our model remains capital efficient and supported by the resources needed to execute our strategy effectively. With that, I'll hand over to Michael to discuss our financial results. Michael?
Michael Elbaz: Thank you, Jacob. Before I dive into the numbers, I will note that my remarks refer to non-GAAP figures unless otherwise indicated. Reconciliations to GAAP results can be found in today's earnings release. Third quarter revenue came in at $14 million, at the midpoint of our guidance and up 3% sequentially from the second quarter. Breaking this down by market, consumer revenue was $6.7 million, up $1 million sequentially, driven by higher WiFi 7 antenna shipments to cable operators. On a year-to-date basis, our sales to cable operators grew by over 50%, fueled by the WiFi 7 technology refresh. Enterprise revenue was $6.9 million, down $300,000 sequentially due to lower enterprise antenna sales. Our embedded modems product line recorded a third consecutive quarter of sequential sales growth. The growth was driven by end customers in the utility infrastructure monitoring market. Automotive revenue was $500,000, down $300,000 sequentially, driven by lower aftermarket antenna sales. Third quarter non-GAAP gross margin was 44.4%, up from 43.8% in Q2. On a year-over-year basis, margin increased by 160 basis points, driven by improved enterprise and consumer product margins. Third quarter non-GAAP operating expenses were $6.1 million, lower both sequentially and year over year, reflecting an expense realignment within our core product lines and a decrease in our G&A expenses. While total expenses have decreased, we continue to invest in our growth platforms, specifically the sales, marketing, and engineering functions to support a scalable system solution company. On a year-to-date basis, our non-GAAP engineering, sales, and marketing expenses decreased 10% year over year. Within that, we estimate the engineering, sales, and marketing expenses for our core product lines decreased by approximately 30%, while investment in our growth platforms increased by about 30%. Adjusted EBITDA improved to a gain of $300,000 compared to a loss of $400,000 in Q2. Q3 non-GAAP net income was $100,000 or 1¢ per share, compared to a loss of $500,000 or 4¢ per share in Q2. We ended the quarter with $7.1 million in cash and equivalents, down $600,000 sequentially and down $300,000 on a year-over-year basis. Year to date, we received $2.1 million in net proceeds from the employee retention credit we applied for over two years ago. The ERC credits helped offset the impact of $1.7 million year-to-date non-GAAP operating loss on our cash balance. Looking ahead to the fourth quarter, we expect revenue in the range of $12 million to $14 million, with a midpoint of $13 million, representing a sequential decline of approximately 7%. This decline reflects a temporary moderation in our consumer and enterprise sales following strong year-to-date performance. We expect non-GAAP gross margin for the fourth quarter to be in the range of 42.5% to 45.5%, or 44% at the midpoint. We do not anticipate a material impact from tariffs or the recent government shutdown, although this environment may result in supply chain disruption costs. We expect non-GAAP operating expenses for the fourth quarter of approximately $5.8 million, resulting in positive adjusted EBITDA of approximately $100,000 at the midpoint of our guidance range. Now I will turn the call back over to Jacob for his closing remarks. Jacob?
Jacob Suen: Thanks, Michael. To put it simply, 2025 has been a year of validation and disciplined execution, and we are entering 2026 with stronger visibility, a clear roadmap, and the foundation to scale. We have achieved key certifications and driven customer engagement across our growth platforms. Our core business provides stability, our platforms create drivers for growth, and our team continues to execute with focus and accountability. The opportunity ahead of us is clear, and our conviction has never been higher. Thank you to our employees, partners, and investors for your continued trust and support. Operator, we are now ready to take questions.
Operator: Thank you. We'll now be conducting a question and answer session. It may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions.
Jacob Suen: Thank you. Our first question is from Anthony Stoss with Craig Hallum Capital. 
Anthony Stoss: Hey, Jacob and Michael, it's Ryan on for Tony. I'm just curious about your recent WiFi 7 design win with the Tier 1 carrier. Is this an existing customer upgrade for you guys, or is it a completely new customer? And then how do you think of the cadence of the ramp on the revenue impact for next year?
Jacob Suen: Thanks. Hi, Ryan. Yes, this is Jacob here. The customer is an existing customer, although this is, you know, as far as the end customer, it is a US Tier 1 operator, and this is their flagship gateway for the next generation. So this is, you know, their largest scale.
Anthony Stoss: Okay. Got it. And then how do you guys think of the, I know it's ramping in the second half of next year. How do you think of the revenue impact for 2026?
Jacob Suen: Look, we talk about the size, it's in excess of 5 million units. You know, it's going to be within five years because that's usually how operators, you know, roll out their deployment. As far as 2026, we would be able to get more visibility, I would say, in the first half of the year because it's planned to be, you know, start deploying in the beginning of the second half of next year.
Anthony Stoss: Okay. Got it. And then maybe one for Michael on OpEx. It's nice to see continued cost discipline both in the results and the guide for December. I'm curious how you think about OpEx fluctuation next year as you ramp some of the new products?
Michael Elbaz: So our goal is really to be at EBITDA breakeven, if not positive. And so as we have some runway left to have the revenue ramp in the AC fleet and Lighthouse, we will maintain that tight management of OpEx. We're always looking for efficiencies in our G&A expenses. This has always been the case. And at the same time, we're also looking very deliberately at our investment in our core market, mainly because we want to make sure that we continue to invest in the growth platform just like we have done over the past few years.
Anthony Stoss: So, it would be basically a tight management of OpEx, it will be deliberate type of investment. It would be focused on the growth platforms. On the core markets, we mentioned, the consumer product line along with the embedded product line, which is part of the enterprise market, definitely have been bright spots for us in FY '25. And so we have as well an engineering roadmap along with increased focus on the sales and marketing effort as we continue to win designs on those two major product lines.
Anthony Stoss: Alright. Got it. Thank you, Jacob. Thank you, Michael.
Michael Elbaz: Thank you.
Operator: Thank you. This concludes our question and answer session. If your question was not answered, you may contact Airgain's Investor Relations team at airg@gatewayir.com. I'd now like to turn the call back over to Mr. Suen for any closing comments.
Jacob Suen: Thank you for your thoughtful questions and for your continued interest in Airgain. If there's one takeaway, it's that Airgain is a more focused, disciplined company entering 2026, positioned for sustainable growth and increasing platform adoption. Michael and I will be attending the Quick Conference in New York City on Tuesday, November 18, and we look forward to connecting with many of you there. Operator, you may now conclude the call.
Operator: Thank you for joining us today for Airgain's Third Quarter 2025 Earnings Call. You may now disconnect.